Operator: Ladies and gentlemen, thank you for standing by. Good morning, and welcome to the Choice Hotels International Third Quarter 2011 Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. During the course of this conference call, certain predictive or forward-looking statements will be used to assist you in understanding the company and its result, which constitute forward-looking statements under the Safe Harbor provision of the Securities Reform Act of 1995. These forward-looking statements generally can be identified by phrases such as Choice or its management believes, expects, anticipates, foresees, forecasts, estimates or other words or phrases of similar import. Such statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Please consult the company's Form 10-K of the year ended December 31, 2010, and other SEC filings for information about important risk factors affecting the company that you should consider. Although we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, levels of activity, performance or achievements. We caution you, do not place undue reliance on forward-looking statements, which reflect our analysis only, and speak only as of today's date. We undertake no obligation to publicly update our forward-looking statements to reflect subsequent events or circumstances. You can find a reconciliation of our non-GAAP financial measures referred to in our remarks as a part of the third quarter 2011 earnings press release, which is posted on our website at choicehotels.com, under the Investor Information section. With that being said, I would now like to introduce Steve Joyce, President and Chief Executive Officer of Choice Hotels International, Inc. Please go ahead, sir.
Stephen P. Joyce: Thank you very much. Good morning, and welcome to Choice Hotels Third Quarter 2011 Earnings Conference Call. With me, as always, this morning is Dave White, our Chief Financial Officer. Last night, we issued our press release with our results for the third quarter, and we had a very solid quarter. A key takeaway is that our top line for franchising revenues exceeded our internal expectations and increased nearly 9% compared to last year's third quarter. We also remain very disciplined on the cost side of the equation. While our third quarter SG&A cost benefited from lower compensation expense, related to the performance of employee retirement plan investments, excluding this item, which Dave will cover into more detail, and I'm sure we'll have a few questions, our SG&A growth rate still came in lower than we had expected. As a result, we were able to achieve solid margin expansion and EBITDA performance, which exceeded our expectations. Our operating performance plus certain tax benefits resulted in diluted earnings per share of $0.71 for the third quarter, which obviously, exceeded our guidance. On the macroeconomic front, the key factors that influenced our results: Employment, consumer confidence and GDP growth, have not changed significantly since our last earnings call in July. Bottom line is based on those factors, we continue to expect a gradual and steady recovery. We continue to see positive momentum in a number of key areas that drive our success, including RevPAR growth, franchise development and central reservations contributions to our franchise hotels. During the third quarter, our domestic system RevPAR increased by 5.4%, and exceeded our guidance for the quarter, which was 5%. We are pleased that during the quarter, we continued to see RevPAR increases for all of our brands, driven by nearly across-the-board gains in both occupancy and rate. More recently, we have not seen signs of a slowdown in the RevPAR environment, with the domestic systemwide RevPAR for September and October, the first 2 months of RevPAR data included in our fourth quarter results, increasing at a mid-single-digit percentage growth rate, despite more challenging comps when compared to the same period last year. Considering our third quarter and our RevPAR results from September and October, we are increasing our full year RevPAR growth outlook to 6%, from the outlook we shared with you in our last earnings call. On the franchise development front, for the quarter, we executed 79 domestic hotel franchise contracts, which was comparable to last year's third quarter. While our conversion Franchise Sales declined slightly from last year's third quarter, the silver lining in this result is that we achieved a nearly comparable result with dramatically less Franchise Sales incentives or discounting. You may recall that we had an aggressive Franchise Sales incentive in place last year, and through the first half of this year, one we essentially discontinued due to an improving outlook. We also remain focused on expanding our footprint in the upscale segment with Cambria Suites and the Ascend Collection. We made progress with both of these brands in the third quarter. In the third quarter, we executed 2 domestic franchise contracts for the Cambria Suites brand in marquee locations: Washington, D.C. and White Plains, New York. We also announced the project is in Houston as well that has now signed. We continue to invest selectively in the brand, and in ascending its growth in high-value markets with institutional quality developers. We believe these recent announced hotels will be exceptional representations of the brand. Another highlight on the development front was our continuing success with the Ascend Collection membership program. We continue to capitalize on the strength of our distribution system by attracting upscale, independent hotels that want to join a network of historic boutique and unique properties, while maintaining their local market identity. We executed 6 Franchise Sales agreements for Ascend in the third quarter, up from 3 in last year's third quarter. As of the end of September, the Ascend Collection stood at 66 properties: 46 properties in the continental U.S., 15 Outrigger properties in Hawaii and 5 hotels located outside of the United States that are part of the system. During the past 12 months, the Ascend Collection system increased by 12 hotels or nearly 35%. Interest in joining the Ascend Collection is predicated on our ability to deliver a high-value business to these hotels via our proprietary central reservation channels. Year-to-date, the Ascend Collection hotels are seen on average, more than 40% of their reservations from Choice central channels, which is the highest contribution rate of any brand in our domestic system. Finally, I'll again highlight our unrelenting focus on innovating in the areas of business delivery. As you know, providing high-value central reservations to our franchisees' hotels is the key reason that hoteliers affiliate with us. Our proprietary central reservation channels, meaning our choicehotels.com website and our call centers, provide our franchisees the highest average daily rate at the absolute lowest cost. We continue to see robust growth in central reservations systems' contribution and revenues in 2011. For the 9 months of the year, our domestic central reservations contribution increased more than 120 basis points to 33% of all reservations. This has driven a 10% year-to-date increase in central reservations systemwide revenue. Choicehotels.com, the most profitable channel for our hotels, represents approximately half of all of our centrally delivered reservations. Our integrated marketing campaign, Your Voice, Your Choice.com, which we launched this summer, is continuing to educate travelers that by booking directly on choicehotels.com, they can get the best rates available on any online channel. This campaign has driven more guests to book at choicehotels.com year-to-date. Through the end of September, choicehotels.com visits have increased 7%, driving revenue up 12% for that channel. So before I turn the call over to Dave, I want to reiterate that we remain encouraged by the positive momentum we are seeing in many parts of our business. Now let me turn it to Dave to cover our third quarter performance in more detail. David?
David L. White: Thanks, Steve. As you saw on last night's press release, we reported diluted earnings per share of $0.71, which exceeded our previously published outlook of $0.59 per share by $0.12. Compared to our outlook, I want to highlight several items that impacted our results during the quarter. First, about $0.04 of our outperformance is related to better-than-expected operating and EBITDA performance driven by both top line revenue performance and cost management. Specifically, our domestic royalty revenues were better than we had expected, primarily on account of domestic RevPAR growth for the quarter of 5.4%, exceeding our forecasted outlook of 5% growth. Similarly, our international royalty revenues for the quarter were stronger than we have anticipated, primarily on account of better-than-expected RevPAR performance. Those 2 factors, combined with the results of other revenue categories, resulted in our franchising revenues exceeding the expectations contemplated in our guidance by approximately $2 million for the quarter. On the cost side of the equation, during the third quarter, our SG&A costs were lower than we had expected. Our costs were approximately $1.3 million lower than contemplated, on account of reduced compensation expense, attributable to the performance during the quarter on employee retirement plan investments. In our guidance, we don't forecast these capital markets driven expense adjustments. From an EPS perspective, the SG&A benefit related to the employee retirement plan was offset with losses on investments included below operating income, in the other gains and losses caption on our income statement. Backing out the impact of this item, our SG&A costs still ended up being less than the levels we contemplated in our previous earnings guidance, on account of prudent cost control. The remainder of our outperformance or $0.08 per share for the quarter, is related to lower-than-expected taxes, primarily on account of certain discrete tax benefits realized during the quarter. As Steve mentioned, we were very pleased with the RevPAR performance of our franchisees during the quarter. As a reminder, our RevPar results for the third quarter reflect our franchisees' gross room revenue performance for the months of June, July and August. Domestic systemwide occupancy increased by 200 basis points compared to last year, with nearly all of our brands seeing solid improvements. And we also achieved a nearly 2% gain in overall domestic systemwide average daily rate. As Steve mentioned, our RevPAR results in September and October have continued to be strong in the mid-single-digit percentage area, and this is reflected in our outlook for the fourth quarter. On the unit growth front, we continue to expand domestically and abroad, the footprint and quality of our franchise system. Our net domestic online unit growth rate of 4/10 of 1% over the past 12 months was comparable to the net unit growth experienced in the overall U.S. lodging industry during the same period. Finally, we achieved a 2-basis point improvement in our effective domestic royalty rate for the quarter. As a result of our net unit growth, RevPAR and effective royalty rate results, we achieved the 6% increase in our domestic royalty fees for the third quarter, which increased to $70.2 million compared to $66.4 million last year. The company's international fees included in royalty fees revenue were $7.2 million for third quarter of 2011 compared to $6.1 million last year. Our balance sheet and liquidity position remain strong. We finished the third quarter with approximately $125 million of cash on hand and total long-term debt of approximately $250 million, which represents a net debt-to-EBITDA multiple of less than 1x our expected 2011 EBITDA. During the third quarter, we repurchased approximately 700,000 shares of stock under our share repurchase program at an average price of $29.79 per share. Since the end of the quarter, we have repurchased an additional 600,000 shares at an average price of $32. We currently have authorization to purchase up to an additional 2.3 million shares of stock. Turning to our outlook for the fourth quarter. We currently expect fourth quarter diluted earnings per share of $0.43. We are increasing our full year 2011 adjusted EBITDA guidance to $183 million, and we increased our full year 2011 adjusted earnings per share projection to $1.89 per share. The primary reason we are increasing our full year EBITDA and EPS outlook from our previous guidance, is on account of better-than-expected performance in the third quarter compared to our previous outlook. In addition, this reflects our updated full year domestic RevPAR growth outlook, which we increased to 6% from 5% previously. Our current outlook assumes net domestic unit growth will be essentially flat compared to last year. The figures assume our domestic systemwide RevPAR increase for the fourth quarter is 6.5%. And the figures assume a 2-basis point increase from the effective royalty rate for full year 2011. And finally, an effective tax rate of approximately 34% for fourth quarter and 30.5% for full year 2011. Our EPS figures assume our existing share count, which was approximately 58.6 million shares as of October 26. Now let me turn the call back over to Steve.
Stephen P. Joyce: Thanks, Dave. To wrap up, before opening the call for your questions, our hotel franchising business remains strong. Our franchisees continue to see solid RevPAR growth. And because of record low supply growth forecast for the medium term, we are anticipating hoteliers to have an opportunity to continue to see RevPAR gains, even in the projected slow growth environment. Choice is in an enviable position as we possess the industry's most powerful family of value-oriented brands. A hotel for every stay occasion, one of the most generous rewards program in the business and Choice Privileges, which by the way is closing in on 14 million members, and what matters most to consumers: A free breakfast, a free newspaper and free Internet access. We remain committed to continuing to innovate in areas that strengthen and grow our brands and the business that we deliver to our franchisees. We are highly focused on expanding and innovating our reservation channels, both domestically and abroad, through ongoing innovation, and the international rollout of our property management system, which is cloud-based. And we're enabling customers to book our hotels where, when and how they want, by maintaining a leadership position in the mobile application space. Technology savvy travelers using iPads, iPhones and Androids can use their devices to book rooms at Choice brand hotels. We also continue to identify and implement programs that improve our success, efficiency and speed-to-market in high opportunity areas for us, such as a corporate travel market and Franchise Sales. Finally, over the long term, our #1 priority, as it has always been, remains creating value for our shareholders, and effectively allocating the capital generated by the business, including dividends and share repurchases as a priority. Now I'm going to open the call, and we'll try to answer any of your questions.
Operator: [Operator Instructions] And our first question comes from the line of Jeffrey Donnelly of Wells Fargo.
Jeffrey J. Donnelly - Wells Fargo Securities, LLC, Research Division: Can you talk a little bit about just the appetite you've been seeing for adding units? I apologize if you touched on it in your remarks, I had a little bit of a difficulty. And I'm just curious of the reaction that has been to some of the stimulus that, I guess, you guys have been providing to drive franchise growth, and do you see that picking up as you move into 2012?
Stephen P. Joyce: Yes. So let me just give you some color of it. Good morning, by the way. So I think, what we're seeing -- our deals were flat, and we're still forecasting for the year to be sort of flattish on the growth side. What we're seeing though, is we think more of an appetite. We just finished our regional conferences with all of our franchisees. And I can tell you, since May and then following through into those conversations, the deal flow conversation has picked up considerably, which is why we felt comfortable backing off the incentive program. And the fact that we got the same number of units without that pretty strong incentive program, it was very encouraging to was. We're going to do a number of things to improve our speed-to-market and how quickly we do deals, and how friendly we work with the franchisees on a number of our brands, that we think will probably help. On the other side, we're still not seeing transactions pickup yet, and we're still not seeing the other brands terminating their hotels, which are both pretty strong sources for us. So we believe that's coming, but we haven't seen signs of either those. But I think generally, our viewpoint is we're pretty encouraged where the sales are today. And we think we're looking at an improving environment probably next year.
Jeffrey J. Donnelly - Wells Fargo Securities, LLC, Research Division: And I'm curious, there was an increase, sort of a sharp increase in the initial franchise and the licensing fess this quarter. Is that a fairly, what you can call a clean number? Was there anything nonrecurring there?
David L. White: Jeff, the way to think about that is under the accounting rules, when we execute a franchise agreement that has one of the incentives in it, where SEC requires us to do a rebate or something of that type, we have to defer the recognition of the revenue until we've met that requirement. Actually, disperse that particular promo [ph] or rebate. And typically, that happens when the hotel opens, which is a quarter to 2 after the contract is executed. So what you're seeing there is actually the revenues reflect the recognition of cash we have received in prior periods but are deferred, on account of the opening of those hotels and the disbursements of those incentives. So it's not perfectly clean, but it's more just driven by the accounting. And the same goes for on the commission side, so we also defer the commissions expense, which hits SG&A until we recognize as revenues.
Jeffrey J. Donnelly - Wells Fargo Securities, LLC, Research Division: Actually, and one last question on the SG&A front, can you talk about what your thoughts are for SG&A in 2012? And related to that, because there were some mention of some other computation-related charges in the quarter. Do guys have a -- remind me, do you guys have a defined benefit pension plan or is that just sort of a retirement plan in accounting, related to just maybe specific numbers of management?
David L. White: Sure. So first of all on '12, we're not planning to provide 2012 outlook until a little bit later this year or early next year. So we'll come back to you when we're ready to have those discussions. The charge or the adjustment that we talked about in last night's press release, and I mentioned in my remarks, relates to a deferred compensation plan, which is not a defined benefit plan. But it's a deferred compensation plan, and under the accounting rules, the changes in the liability to the participant in that deferred compensation plan either up or down, goes through your compensation expense. And the corresponding change in the value of the investments, which are essentially contrary to that liability, go down into that other income section.
Operator: And our next question comes from the line of Harry Curtis of Nomura.
Harry Curtis - Nomura Securities Co. Ltd., Research Division: Just a quick question on your use of cash over the, say, the next 12 months to build out your newer brand Cambria. How much have you spent so far this year? And what do you anticipate using next year? Yes, I'll just leave it at that.
David L. White: Sure, so Harry, let me talk about it a little more broadly for year-to-date. On the cash flow statement, there's a -- down in the investing section, there's a $4.3 million figure, which really relates to incentives we paid out on all of our brands, which is predominantly not Cambria. And then as we think about the rest of this year, in terms of the deals that we've got agreements in place on, you could see the balance of this year, I guess I would say, several million dollars. Somewhere between I'd call it, $5 million to $8 million in the fourth quarter. Potentially, that could slip into next year. And then next year, depending upon one fairly significant deal that we're producing out, which is a New York City deal, where we have a mezzanine loan planned, that's kind of in the mid-teens in terms of millions dollars. Depending upon the timing when that deal gets financed, that could happen basically in the first half of next year. And then obviously, we're continuing to look for great opportunities for the brand. So above and beyond what we've already committed to, we're hopeful that we'll find some other really attractive opportunities to get that brand expanded, and potentially use some of that -- some of the capital to help make that happen.
Stephen P. Joyce: So Harry, just to add a little bit on to that. So if you think about sort of where we are in the financing environments, the deals that we've announced this year, we've been working 3 years, and they finally got financed. So one of the pleasant surprises this year has been for urban construction projects. Financing is more available than it's been, and actually, that market recovered a little more quickly than we thought. We're not sure what the whole European debt situation is going to do to affect that yet. We haven't seen anything specific. It could slow it down some, but we just don't know. And so -- and we're working several other urban, major deals that if they can pull their financing together, we may be able to pull off. But I would still say, we're going to be in that range that we said, which is not very significant to us, which is -- I'd love to put more capital out to build that brand, but I really don't see us getting more past the $20 million to $40 million in a good year that we had. So the deals that came through in '12, we'd still be in that neighborhood that we've discussed with you before.
Operator: And our next question comes from the line of David Katz of Jefferies.
David B. Katz - Jefferies & Company, Inc., Research Division: I think you touched on the SG&A question earlier. But the recurring theme for us or one of the issues we're always looking at is, share repurchases. And I know that, that is a sort of a broad, long-term philosophy. But we know that this quarter, you did buy some, and there really hadn't been any for a while. If you could maybe talk about what changed or what drove that this quarter versus some of the others? And I know there's a number of factors in there, but if you could talk about any of the factors that may have altered your view on it? And obviously, any help for the future would be appreciated as well.
David L. White: Yes, you know our view is really not altered from what we talked about in the past, and that's basically over time. Do the right things with the capital, including opportunistic share repurchases. So in terms of the recent activity, obviously, there was a pullback in the price of the stock, which from an optimistic perspective, certainly made it more attractive. That's not the only factor, but that was one of the key factors that we saw and decided to take advantage of. Then, just when you think about the broader macro-type things that are going on, it feels like we're kind of centering around continued, kind of gradual slow but steady recovery. So with kind of that macro backdrop and the things going on with the capital markets and with our own stock price, we thought it was an opportunistic time to act. And -- but going forward, I don't think you should think about that program any differently. It will be choppy, but we'll continue to do the right things with the capital in terms of buying back stock opportunistically.
David B. Katz - Jefferies & Company, Inc., Research Division: Right. One other, if I may. I noticed this week, about some press with IHG launching another brand, and I don't recall where that fits segment-wise. But it just begs the question about the competitive landscape out there, and one of the things that has traditionally pressured the market has been too many brands out there competing for the number of deals. How does that -- how do you expect that to evolve? I assume it is competitive, but do you expect it to get better or worse in the next year or so?
Stephen P. Joyce: Well, I think as I mentioned earlier, our expectation is, it will probably improve some. We're not expecting any sort of dramatic turnaround, but we believe that because the industry is going to do better, some of the normal factors of our growth, which relate to transactions and to pruning of other systems, and to the confidence of the franchisees going forward and reinvesting in their hotels or building new ones, we think that we're at a point where next year, we should see some improvement in that. As it relates to IHG entering that space, that's a relatively recent announcement. Our view is, we've got significantly distributed brands for every stay occasion, and one of the stronger mid-scale presence. We're one of the leading gainers in market share the last 5 years, with 9.6% of all the hotels in the U.S. That's an increase of 110 basis points. The next few years is primarily going to be driven by conversions, which we are, the premier conversion company, our understanding -- and don't quote me on this because I don't know this, we haven't seen any announcement that, that would probably be a new-build brand, which is a tough thing to launch in today's environment. However, we're not expecting that to change our competitive position. We've got strong brands that are well-liked by consumers. We think the value equation for our franchisees is strong. The returns are strong. And the fact that most of the action for the next 2 years is going to be conversions, puts us in a uniquely attractive position.
Operator: And our next question comes from the line of Ms. Felicia Hendrix.
Sule Sauvigne - Barclays Capital, Research Division: This is actually Sule. Just have a follow-up on a question or an answer you gave earlier. You said that -- and I might have missed them -- but just on the fourth quarter, you're going to invest $5 million to $8 million, I believe? Was that to support the Cambria brand or the other brands or a the mixture of both?
David L. White: That was related to Cambria.
Stephen P. Joyce: Yes.
Sule Sauvigne - Barclays Capital, Research Division: And speaking of Cambria, have these -- or can you provide the performance of that brand in the quarter, lifestyle-wise?
Stephen P. Joyce: We don't list that because we've got a policy that's been discussed with the SEC, that we don't give numbers out for brands that don't have more than 25 hotels open for more than 1 year. So we're not doing that. What I can tell you is that the ramp up of those Cambria hotels is proceeding nicely, and we're very encouraged by their performance.
Sule Sauvigne - Barclays Capital, Research Division: Okay. Do you -- would you say they're outperforming the segment they're in or the chain scale they're in?
Stephen P. Joyce: Well, you've got to remember most of them are relatively new, so they're ramping up. So the answer to that would be yes, but it's not that -- you can't make that comparison against a stabilized set of hotels.
Operator: Our next question comes from the line of Mr. Mark Strawn from Morgan Stanley.
Mark Strawn - Morgan Stanley, Research Division: I was wondering if you could give us some insight on how you're thinking about a potential international brand acquisition at this point.
Stephen P. Joyce: Well, I mean, we've made no secret of the fact that we would love to find an acquisition in international would clearly fit what we're looking for. We think that would blend well with, we're introducing our technology platform, which is the cloud-based, into the international place for the first time. That's being very well received. It's in Australia, in a pretty significant way, and it's being introduced in the U.K. now. We'll be in France and Germany before, probably the end of the year. And so we think that's going to give us some big moving advantage. So that allows us to be an attractive buyer of a brand, and bring significant cost and distribution benefit to those brands. Having said that, I will tell you, we've been scouring the brands available, and there's just not a lot out there for sale. There's some smaller brands that we've looked at, and some short chain-type stuff, which we're aggressively in the market looking. But I can tell you, there's nothing pressing that we see as anything that would cause us to have hope that we could pick something up in the near term.
Operator: And our next question comes from the line of Jonathan Komp of Robert W. Baird.
Jonathan R. Komp - Robert W. Baird & Co. Incorporated, Research Division: One quick question. Most of my others have been taken. I was just wondering on these discrete items related to a lower effective tax rate, could you shed some light as to what those are related to?
David L. White: Yes, sure. There's been a -- there's a couple of different things going on there, but the gist of it is there's been some recent guidance from the IRS on a couple of different positions that we had taken in some open tax years. And that guidance gave us an opportunity to take more favorable positions than we had taken previously. Also, another piece of it was we had an ability to secure -- to use a higher level of our foreign tax credits because some the things going on internationally there. And then we also had like from a tax contingency perspective, we picked up a benefit, just in terms of the laps of the statute of limitations for a number of open tax years. So it's a combination of things. I think what I would highlight is, if you think about what our kind of normalized, what we think of as our normalized effective tax rate, I think if you look what's happened with that over the past few years and factoring out the discrete items, you're kind of in that 30%, 34% range, which is how we like to think about it, kind of from a going forward perspective.
Jonathan R. Komp - Robert W. Baird & Co. Incorporated, Research Division: Great. And then one follow-up question on sort of the composition of business you're looking at for 2012, I know last quarter you talked a little about SMERF business being one of the strengths for you guys. Is that composition trending more towards perhaps, higher rated business at this point? Or are you still seeing the same type of composition?
Stephen P. Joyce: Yes. What we're benefiting from significantly is, we're a 2/3 leisure company. And so that's a good thing, because leisure's been more stable. But what we're seeing is, we're getting a big pickup in business travelers. That's where the increase is coming from across the industry. It's basically leisures holding up pretty well, but the increase is coming from more business travelers on the road. And we've got a much more aggressive sales force in place than we had previously. We're much more aligned against the right kind of companies, so I think we're selling much better. But I also think we're benefiting from people are put -- or travelers on the road, but they're restricting what they can pay, and that plays right in to our scenario. So sort of across the board, as you're looking at business opportunities and where we get our business, our channels are looking -- the business side, the revenue increases are high teens. So it's very encouraging to see that. And there's 2 things we like about it. One is, we're obviously getting -- our RFPs are way up from last year. Our general business traveler numbers are up based on that revenue significantly. But the other thing that's encouraging is we think that mindset is not even midterm. It's probably long term. And so I think, companies are telling folks that you need to get on the road, you need to bid, and to your customers you need to sell. But by the way, find the hotel that gives you free breakfast, and I don't want to pay for the Internet charge either. And by the way, you need to keep it under a certain price point. That really plays in our strength.
Operator: [Operator Instructions] And our next question comes from the line of Mr. Robin Farley of UBS.
Stephen P. Joyce: Robin, not sure if you're on mute... [Technical Difficulties]
Operator: Our next question comes from the line of Tim Wengerd Deutsche Bank.
Tim Wengerd - Deutsche Bank AG, Research Division: Can you talk a little bit about the change in the pipeline as it stands now versus 3 months ago?
David L. White: Yes, the biggest thing you're seeing there. Okay. So if you think about our pipeline, kind of the inputs of the pipeline or I see executed contracts, and so we've seen the executed contracts over the last couple of years has been trending down. I mean, the outputs from the pipeline are openings of hotels as well as terminations of contracts that for whatever reason, a variety of reasons, don't open. So I think the way -- the important thing about the pipeline particularly, in this environment that we're in is to focus on the conversion side of things. And the reason that's important is, when we execute a conversion franchise contract, it goes into the pipeline, but it has a good chance that it doesn't necessarily stay in it for the full quarter. Because the hotels open so quickly, because they already own open operating hotels. So the pipeline is a little less relative for the conversion brands. But frankly, what you're seeing on the pipeline side is just a gradual opening of hotels, and as we clean up previously executed contracts that didn't open, just it's not being completely refilled at our Franchise Sales at this point, kind of the reason I talked about it on the conversion side. So that's one of the reasons we also provide outlook for the size of the domestic system, which at the end of the day, is what drives the royalties. So that's typically where we focus on.
Stephen P. Joyce: Yes, and I'll add to that. Not only do we only put executing contracts in our pipeline, which is a different standard than others may use, we also scrub that pipeline continuously. And if we don't think the deal is going to go forward, we pull it out. We obviously would benefit if we listed our international pipeline as well, we don't, because the system in the U.S. is what drives our EBITDA. And so if we listed the pipeline for the international brand that's expanded, obviously, more based on some of the activities that are better there than in the U.S. And so -- that I think, the point about the conversions is the one to watch. And also, I think what you ought to understand is that we want to have a pipeline that represents the number of hotels that we think are going to be added to the system.
Tim Wengerd - Deutsche Bank AG, Research Division: Okay. All right. The other one other question. You announced that Cambria deal in White Plains not too long ago. And I was just wondering roughly, how much capital you plan to invest in a project like that? And what sort of return you would expect when you invest capital?
David L. White: Yes, so on that particular project, I guess, I would say, cash capital outlays would be kind of mid-single-digit in terms of millions of dollars. I don't want to give too many specifics out of it because of the developer. But basically, from a returns perspective, when we think about the capital outlay for our Cambria program, we're typically targeting mid- to upper-single digit percentage return on the capital, in addition to what we're going to do for the brand in terms of getting good brand representatives out there in the right markets. Those are franchise business which could be pretty valuable.
Stephen P. Joyce: So Which would give you a higher return on a levered basis. And also if you threw in the agreement, it would give you a higher return on that.
David L. White: Right. So if you consider the royalties, you'd be above that of level I talked about.
Operator: And we have no further questions at this time. I would now like to turn the call back over to Mr. Joyce for closing remarks.
Stephen P. Joyce: So thanks very much for joining us on the call. We're encouraged by our results and the resiliency of the lodging market in spite of sort of the level of distraction, both from Europe and in the United States. And we're encouraged by that resiliency. We haven't seen anything that would suggest that, that's not going to continue. So our viewpoint is, as it was in the last call, that we are gradually improving, and that's going to be probably the condition for -- as we can see it, for the next several years. So we look forward to talking with you again and exploring 2012.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you so much for your participation. You may now disconnect. Have a great day.